Operator: Good morning. My name is Takiya and I will be your conference operator today. At this time, I would like to welcome everyone to the Fifth Third first quarter earnings conference call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. Mr. Richardson, you may begin your conference.
Jeff Richardson: Thanks, Takiya. Hello and thanks for joining us this morning. We will be talking to you today about our first quarter 2009 results. This call may contain certain forward-looking statements about Fifth Third Bancorp pertaining to our financial condition, results of operations, plans and objectives. These statements involve certain risks and uncertainties. There are a number of factors that could cause results to differ materially from historical performance in these statements. We have identified a number of those factors in our forward-looking cautionary statement at the end of our earnings release and other materials and we encourage you to review those factors. Fifth Third undertakes no obligation and would not expect to update any such forward-looking statements after the date of this call. I am joined here in the room by several people. Kevin Kabat, our Chairman and CEO, Chief Financial Officer, Ross Kari, Chief Risk Officer, Mary Tuuk, our Controller, Dan Poston, our Treasurer, Mahesh Sankaran, and Jim Eglseder of Investor Relations. During the question-and-answer period, please provide your name and that of your firm to the operator. With that I’ll turn the call over to Kevin Kabat., Kevin.
Kevin Kabat: Good morning, everyone, and thanks for joining us. There is a lot going on in the industry right now and I would like to address the impact of some of those macro issues to Fifth Third. I will also provide some highlights for the quarter before turning things over to Mary and Ross for a more detailed look at our financial performance. The major development in the quarter for Fifth Third was our announcement that we plan to sell 51% of our processing business to Advent International. The transaction values the business at $2.35 billion before about $50 million in valuation adjustments. This transaction brings us a partner to co-invest in a business that we believe has significant additional growth opportunities. And Advent’s substantial expertise in the payment space, particularly internationally will be beneficial as well. Additionally, we expect the transaction to generate a pre-tax gain of approximately $1.7 billion, a net income of nearly $1 billion dollars. Tier 1 and TCE ratios would increase by over 90 basis points and tangible book value per share would increase about $2 per share to $10.80 on a pro forma basis. In terms of the economic environment, for most of the past 18 months, it’s been a pretty steady drumbeat of negative news and developments, and things aren’t going to change immediately. However, recently we’ve seen a few signs that may be signaling that the rate of deterioration may be beginning to slow. The rate of new unemployment claims just dropped, housing inventories are beginning to come down in a few markets, and the housing affordability index has improved significantly over the past several months. Mortgage re-financings are high, increasing discretionary spending power. We saw an improvement in year-over-year processing revenue growth after several slowing quarters, and we expect that to continue, so consumers may be showing some signs of life. So, while economic conditions are likely to remain challenging near term, there are some reasons for modest optimism regarding the outlook relative to the past four or five quarters. Now let’s take a look at operating results for the quarter. We reported net income of $50 million, compared with a net loss last quarter of $2.1 billion. Last quarter’s results included a goodwill charge of $965 million, approximately $800 million of charge-offs associated with the credit actions that we took, and a $700 million reserve bill. Including preferred dividends, this quarter’s net loss attributable to common shares was $26 million or $0.04 per share. Results this quarter included a resolution of our leveraged lease litigation. We’ve also effectively put potential negatives related to the BOLI issue behind us, as the residual market value exposure is now about $20 million. Coupled with our credit actions last quarter and our continued efforts to work out for restructured troubled loans, we’ve been working very aggressively to deal with problems and get them resolved. As you’d expect from Fifth Third, we are aggressively managing our expenses in this environment. During the quarter, our core expenses were reduced by 9%, as we remain focused on optimizing our resources. We also continue to reallocate personnel to areas such as mortgage modifications, our troubled debt restructuring group, and the commercial special assets group. We had continued strong momentum in deposits, average core deposits were up $2.4 billion sequentially or 4%, with average demand deposits up nearly $1 billion or 6%. Our Everyday Great Rates philosophy remains intact. We continue to offer competitive rates, but do not seek to be the market leader. DDA account production remained strong during the quarter with net new consumer accounts more than doubling from fourth quarter production. We also saw average account balances move higher this quarter, with average consumer deposit account balances increasing 2% sequentially, and average commercial account balances increasing 1%. Consumers are leaving higher balances in DDAs given the low rate environment. That’s a welcome change for declining average balances, which most of us in the industry experienced in 2008. Excluding First Charter purchase accounting accretion, which is running down, and the $6 million impact to NII from our LILO settlement, our net interest income declined 9% sequentially inline with our expectations, given the nature of our assets and liabilities. The decline was driven by repricing related rate decreases occurring more quickly for assets than liabilities. Our liabilities will continue to reprice over the next several quarters, as higher-cost CD’s originated during the volatile third and four quarters mature. We’d anticipate 15 to 20 bps of core NIM expansion in the second quarter and continued improvement throughout 2009. Reported NIM expansion will be about 5 bps lower than that. Corporate banking fees increased 8% on a year-over-year basis, although they declined sequentially due to seasonality. Lower activity levels due to economic weakness also led to reduced demand for certain products. Over the past several years, this line has grown into a large and consistent source of fee income for us, growing at a compound growth rate of 18% since 2006. We continue to focus on deepening our relationships with our corporate customers and we have significantly improved our corporate product suite. Processing fees were down from a seasonally strong fourth quarter, but were up 5% on a year-over-year basis. Sequentially, transactions increased 5% in credit card and 12% in debit cards, but average ticket sizes in the processing industry are running lower than they have for several years, as consumers have shifted their spending habits from things like consumer electronics, branded products and value-added retailers to purchases of lower dollar value items and necessities. We had a record quarter in the mortgage business, originating $4.9 billion of residential mortgage loans. Mortgage banking net revenue was a $150 million in the first quarter, including MSR hedges, compared with $67 million in the fourth quarter. Our application volume was $4 billion for March alone. At the end of the quarter, our total mortgage application pipeline was around $7 billion. Note that most of these loans do not stay on our balance sheet. Net charge-offs for the quarter were $490 million, a little better than our outlook in January. Losses on loans in the portfolio declined $337 million sequentially, excluding losses related to our fourth quarter credit actions, which were about $800 million last quarter. We currently expect net charge-offs in the second quarter to be a bit higher than the first, maybe another $100 million or so. Total NPAs, including held-for-sale increased about $570 million during the quarter, which remains a high level, but reflects a moderation of growth. We currently expect NPAs to be up again in the second quarter, but with continued lower growth than we saw this quarter. Moderation of NPA growth would reduce pressure on the need to continue to increase loan loss reserves at the pace we have seen the last several quarters. Our allowance coverage ratios remain strong as we provided $283 million in excess of net charge-offs for the quarter, boosting the allowance to loan ratio to 3.71%. The allowance to non-performing loan ratio was 128% at the end of the quarter. Over the past year, we have increased our reserves by nearly $2 billion, $1 billion in the last two quarters, and we believe we are well there. Turning to capital, our regulatory capital ratios improved and remained very strong. Our tangible common ratio remains steady at 4.2% of tangible assets and 4.6% of risk-weighted assets. These ratios will be strengthened further by the processing joint venture with Advent. Pro forma for the transaction, the Tier 1 capital ratio would be about 11.8% and the TCE ratio would be about 5.2% of tangible assets and about 5.5% of risk-weighted assets. Now those tangible ratios don’t include the benefit of unrealized securities gains, which would increase those ratios by about 12 bps. Our Tier 1 ratio will be 300 to 400 basis points above our 8% to 9% target upon the closing of the transaction, and would be 8.8% excluding the CPP preferred we issued in December. That’s a position we feel good about as we look toward an eventual repayment of that investment. Let me spend a couple of minutes on some of the government programs announced during the quarter. First, as you know, we’ve all been asked not to discuss the progress of the stress test, which are expected to be completed around the end of the month. So I won’t discuss that here. What I can tell you is that we expect to be as transparent with you as we’re allowed to be with respect to the results of those evaluations. When that will be or what that will look like, I can’t say yet, but we’ll share as much as we have the latitude to share. We think that vehicles such as the public private investment program have potential to be beneficial to the financial markets, particularly to generate some price visibility on number of assets. However, given the nature of our assets, I wouldn’t expect this to be something that will have a lot of direct impact on Fifth Third. Additionally, the TALF should prove helpful in efforts to restore securitization market liquidity. Finally as you know, we began voluntarily modifying consumer loans in a significant way back in third quarter of 2007. Through the end of the first quarter, we restructured over $1 dollar of loans, and we’d expect to remain aggressive on that front for sometime to come as the HAMP program develops. We continue to actively and prudently provide credit to our customers and we continue to see good opportunities as competitors have gone by the wayside and these banks are pretty much the only credit providers in town. During the quarter, we deployed the CPP proceeds received at the end of the year by extending credit totaling nearly $18 billion and we also invested about $3 billion in consumer loan backed securities. At the same time, we managed or expanded our capital ratios. So we are actively engaged in providing credit to our communities, while at the same time managing our capital and credit position appropriately in a difficult environment. Before I turn things over to Mary, let me just wrap up by saying, while conditions remain difficult, we’re in the best position we’ve been in for some time. We’ve strengthened the balance sheet considerably, taken a significant amount of risk out of the portfolio last quarter, building reserves and credit coverage metrics and capital will be strengthened further with the closing of the processing deal. Our quarter earnings power remains strong, and which provides us with significant capacity to absorb losses. Currently, provisioning at high levels of charge-offs are consuming most of those earnings. As the economy stabilizes and improves, we’d expect core earnings to strengthen and credit cost to decline significantly, both of which would have a meaningfully positive impact on bottom line results. With that I’ll turn things over to Mary to talk about credit results. Mary.
Mary Tuuk: Thanks, Kevin. As you recall, during the fourth quarter, we sold or moved to held-for-sale, a portfolio of loans representing $1.6 billion of original balances. These loans were carried at the time at $1.3 billion and we wrote those loans down to $473 million last quarter. For purposes of my discussion, I’m going to focus on the loan portfolio itself, and then afterwards I’ll discuss the held-for-sale portfolio as a separate portfolio. I’ll start first with charge-offs. Commercial net charge-offs in the portfolio totaled $256 million, down $370 million from portfolio losses in the fourth quarter of 2008. C&I losses totaled $103 million, about half of those losses were charge-offs on loans to auto dealers at $26 million, and the real estate related industries about $28 million. That is down significantly from the $383 million of C&I charge-offs that we took during the fourth quarter. Commercial mortgage losses of $77 million were driven by the continued weakness in Florida and Michigan, which accounted for about two-thirds of the losses. Commercial mortgage losses in Florida were particularly high, with net charge-off ratio 7.1% for the quarter, compared with 2.5% in Michigan and 1.4% for the remainder of the footprint. Commercial construction net charge-off were $76 million, once again driven by Michigan and Florida, which on a combined basis accounted for approximately 42% of construction losses. Florida, again, is the most challenging market here, with loss rates running nearly double the rest of the footprint. Couple of general comments on commercial charge-offs. The growth in commercial real estate losses is moderated outside of Florida, and that is an important development. At the same time, C&I losses are reflecting the broader effects of the economy on a portfolio that generally held up fairly well. Although loss severities in those portfolio 142 basis points this quarter are nowhere near, what we have seen in, say commercial construction. Geographically, as I mentioned, Florida remains a difficult market from a credit perspective and that will likely continue until real estate prices bottom out there. On the other hand, Michigan had been our most challenging market, but trends there appear to be stabilizing somewhat. A large factor there is our actions to deal with homebuilder book. Company-wide, losses on homebuilder loans declined 50% in the quarter, falling to $64 million. We currently expect homebuilder losses to be fairly consistent with that level in the near term. Our remaining balances to Eastern Michigan builders and developers totaled $263 million at the end of the first quarter, of which $60 million were on non-accrual status, compared with $57 million in the fourth quarter. Those non-accruals are carried at $0.39 on the dollar. If you all recall, we suspended new origination to homebuilders in late 2007 and remaining balances there totaled $2.3 billion. We also suspended new originations for non-owner occupied commercial real estate in early 2008. Most of our write-downs and ring-fencing actions in the fourth quarter were the most troubled loans in those portfolios in Michigan and in Florida. Net charge-offs in the consumer portfolio were $234 million in the first quarter, a $33 million sequential increase. As with the commercial book, we see continued pressure from Michigan and Florida, which constituted 50% of consumer losses for the quarter, and approximately 30% of total consumer loans. To give some more detail by product. Net charge-offs on the residential mortgage portfolio rose $7 million from the fourth quarter to $75 million. Michigan and Florida were again disproportionately represented, accounting for 79% of losses on approximately 44% of the portfolio. We do expect mortgage losses to rise in the second quarter reflecting the migration to charge-off of the higher levels of delinquencies that we saw in the fall of last year. Delinquency growth has stabilized somewhat, so we do expect trends thereafter to moderate based on roll rates. Home equity losses rose $18 million sequentially to $72 million, including $30 million of losses on brokered home equity loans. As you know, we exited the brokered home equity business in 2007. The net charge-off rate on brokered home equity was 5.5% annualized, which is more than three times the level of loss experienced on our branch originated books. The brokered portfolio is down to $2.2 billion and continues to run-off. Auto loan net charge-offs were up $3 million sequentially, and credit card losses were up $6 million, compared with a fourth quarter. Credit card losses have tended to be highly correlated with the unemployment rate, so we would anticipate some further deterioration before things improve. I’d note that this is a pretty small portfolio, and it is a branch originated relationship product for us. Now moving on to NPAs. Before I get started, I wanted to note that during the first quarter, we reclassified certain restructured loans based on regulatory guidance, and restated prior periods to reflect this change. Under this guidance, we’re classifying certain consumer restructured loans as accruing that are currently paying in accordance with their modified term. NPAs including held-for-sale, totaled $3.1 billion at quarter end, excluding $403 million of NPAs related to our held-for-sale activities where the loans have already been fully marked, NPAs totaled $2.6 billion or 319 basis points of total loans. Excluding the $403 million of NPAs held-for-sale, our nonperforming loan ratio was 289 basis points. Commercial NPA inflows were concentrated in commercial real estate related categories. Commercial mortgage NPAs increased to $216 million with Michigan and Florida accounting for $89 million of the increase. Again, there was a significant gap between owner occupied and non-owner occupied NPA ratios which were 4.2% and 7% respectively. Commercial construction NPAs were up $197 million, with Florida accounting for $133 million or 67% of the increase. Non-owner occupied projects are the most distressed in this category. C&I NPAs were up $127 million from the fourth quarter, driven by the construction in real estate industry. Across the portfolios, residential builder and developer NPAs of $554 million were up $188 million sequentially. This book represented 27% of total commercial NPAs. Moving on to consumer trends, consumer NPAs totaled $630 million at the end of the quarter, an increase of $97 million from the fourth quarter. Virtually all of that increase came in the TDR bucket and related to re-defaults on previously restructured loans. We’ve modified about $1.1 billion since the third quarter of 2007, of which $167 million are carried in NPAs at March 31. About a third of the loans that we’ve restructured to date have re-defaulted, which I think is generally in line with industry experience. Residential mortgage NPAs increased $78 million to $475 million, with the increase largely TDRs, reflecting continued pressure in Michigan and Florida. Non-accrual rate continued to be two to three times higher for lot loans in non-owner occupied units, compared to owner-occupied traditional mortgages. Those loans represent about 15% of our mortgage portfolio, and 40% of our mortgage NPAs. Home equity NPAs were $83 million at the end of the first quarter, a $4 million increase from the fourth quarter again largely TDRs. We’ve aggressively marked our NPAs through the process of taking charge offs, purchase accounting marks and specific reserves recorded through the first quarter. Portfolio NPAs excluding held-for-sale are being carried at approximately 63% of their original face value. Let me spend a minute now on the held-for-sale portfolio. As I mentioned earlier, we sold or transferred $1.6 billion of loans carried at $1.3 billion. We marked those down to $473 million in the fourth quarter, with all of that on NPAs status carried at an average of $0.35 on the dollar. At the end of the first quarter, that portfolio was down to $403 million. That $70 million decline reflected the sale of $48 million of loan and a gain of approximately $13 million, as well as the receipt of $18 million of principal payments and the repossession of $5 million in real estate. The remaining $403 million carrying value is held at $0.30 on the dollar. So, good start to the process in validation of our marks last quarter. Turning to the allowance, provision expense for the quarter was $773 million, and was 158% of net charge-offs, resulting in an increase in the reserve to loan ratio from 3.31% to 3.71% or $3.1 billion, an increase of $283 million. The allowance to nonperforming loan ratio remains at a very strong 128% at the end of the first quarter. As Kevin noted, we do expect NPAs to grow in the second quarter, but for moderation in growth to continue, which may permit lower reserve builds that we have seen in the last several quarters. We continue to provide detailed stratification of our loan portfolios and other trending data, which we filed along with release. With that, I’ll turn it over to Ross. Ross?
Ross Kari: Thanks, Mary. Let me start with summary of earnings per share, and some of the unusual items in the quarter. As Kevin mentioned, we reported net income of $50 million, after payment of preferred dividends, the net loss to common shares was $26 million or $0.04 per share. Quarterly results were impacted by several unusual items. Those items were about $0.18 of benefit in total, and are outlined in the release. During the quarter, we took steps toward surrendering the BOLI policy that we talked about a good deal in the past. That led to the recognition of a $106 million tax benefit from previously recognized tax deductible losses related to the policy. We also incurred a $54 million charge this quarter related to this policy, $43 million of which was related to the establishment of a reserve related to the surrender. Additionally, results include a $55 million tax benefit related to our leverage lease settlement with the IRS. As Mary just mentioned, net charge-offs were substantially lower in the first quarter, and were similar to the third quarter levels. I would also note that our provision for loan and lease losses exceeded net charge-offs by $283 million for the quarter or approximately $0.32 per share on an after-tax basis. We don’t currently expect growth in the allowance to continue to be as high as it has been in recent quarters, therefore the impact on earnings should begin to subside in coming quarters. Now let me walk through our results in greater detail, starting with balance sheet. Average earning assets were up 1% during the quarter, driven by growth in investment securities and loans held-for-sale. As Kevin mentioned, we invested $2.9 billion in auto-backed and mortgage-backed securities and loans held-for-sale increased $1.2 billion, reflecting growth in the mortgage warehouse. Average loans held for investment in the first quarter were down 3% sequentially, and up 3% on a year-over-year basis. While we’ve seen strong mortgage loan demand in the past several months, most of that flows through our warehouse and off the balance sheet. Commercial demand remains very weak throughout the industry, as customers are being cautious about starting new projects in the current environment and are carefully managing their working capital. Average commercial loans decreased 6% sequentially and increased 7% from a year ago. Half of this sequential decline was driven by our credit actions and commercial charge-offs of $1.4 billion in the fourth quarter. Commercial line utilization also dropped 700 million, reflecting customer management of working capital position. Additionally, as you will recall about $1.7 billion of our commercial loan portfolio in the fourth quarter, related to the liquidity environment and off balance sheet programs. During the quarter that total dropped about $300 million as draws on VRDN and LCs came down. Most of the remaining $1.5 billion were loans brought on balance sheet in the fourth quarter from our CP conduit. The market for placing CP continues to ebb and flow in terms of liquidity, although it is improved recently. So in general, there was no real change in commercial loan activity during the quarter, other than lower line usage the demand remains relatively weak. Average consumer loans were up 1% sequentially and down 2% on a year-over-year basis. Average mortgage loans held-for-sale were up about $700 million to $1.7 billion. Given our current pipeline, we’d anticipate held-for-sale balances to increase in the second quarter, a function of processing time on flow and portfolio sales. Now within consumer loans, auto loans were up 3% sequentially and down 6%, compared with the year ago, due to the effect of loan sales and securitizations at the end of the first quarter last year. Credit card balances were up 4% sequentially and up 10% on a year-over-year basis. Balance growth has slowed as consumer spending weakened over the course of the year. Residential mortgages in the portfolio were down 2% sequentially and 12% from a year ago. We wouldn’t expect the portfolio to grow, given that we’re largely originating conforming mortgages with the intent to sell 95% of our production. Loan sales during the quarter were 4.1 billion and we sold 153 million of balances through portfolio sales. Home equity loans were up 1% sequentially and up 8% from a year ago. Growth in this product had noticeably slowed due to falling housing prices and more conservative consumers. New production reflects branch originated high quality loans with a max CLTV of 70% in more distressed markets. We expect continued loan growth to remain subdued in the near term given customer caution and our sale in most of the new residential mortgage production, which does not show up in the loan balances. Moving on to deposits, average core deposits were up strong 4% sequentially and on a year-over-year basis. We’d extremely strong growth in DDA balances, which were 6% sequentially, and 18% on a year-over-year basis or 15% excluding acquisitions. Retail core deposits were up 3% sequentially and up 7% year-over-year. We’re seeing a bit of a barbell effect with consumers, as depositors show preference for holding money in highly liquid transaction accounts or higher yielding CDs, resulting inflows out of saving and money market accounts. Average retail account balances were up about 2%, and average retail DDA balances were up 6%. Total commercial core deposits were up 5% sequentially, commercial DDA balances increased 13% sequentially and 30% year-over-year, while commercial interest checking increased 8% sequentially and 9% year-over-year. During the quarter, we saw continued movement to commercial demand, accounts, in order to take advantage of the FDIC guarantee, and lower economic benefit from sweeping balances into interest bearing vehicles. On a sequential basis, average balances were up 7% in commercial transaction accounts, while commercial savings and money market balances were down 13%. Generally speaking, pricing is far more rational today than it was during the fall, and we would expect our deposit book to continue to price down over time, as some of our higher rate CDs roll off. Moving on now to net interest income. Taxable equivalent net interest income of $781 million was down $116 million sequentially. The decline was partially driven by lower loan discount accretion related to our acquisition of First Charter. This quarters NII included $43 million of loan discount accretion compared with $81 million last quarter. We also had a charge of $6 million related to the change in timing of expected cash flows on leveraged leases related to the IRS settlement. Excluding these items, NII declined by $72 million or 9% from the fourth quarter. This reflected a full quarter effect to the Fed rate cuts in the first quarter on asset yields as loans have repriced faster to reflect market rates. Over the next couple of quarters, our deposit book will reprice and catch up. The CDs we issued last fall mature and we are able to roll them over in a more rational pricing environment. Net interest margin for the quarter was 3.06%, down from 3.46% on the fourth quarter. Loan discount accretion from First Charter accounted for half of the decline and the charge related to leverage leases reduced net interest margin by another two basis points. The core net interest margin declined 23 basis points on a sequential basis, inline with our expectation and bottomed out in January, reflecting asset and liability repricing suite. We did anticipate the net interest margin to increase in future quarters, as our liabilities continue to reprice in a much-improved pricing environment. We expect the core net interest margin to expand about 15 to 20 basis points in the second quarter and the reported net interest margin to be up about 10 to 15 basis points. Moving on to non-interest income, reported non-interest income of $697 million was up $55 million sequentially and down $167 million from a year ago, which included the large Visa IPO gains. Excluding a number of unusual items I will outline in a second, non-interest income increased about 8% on a sequential and year-over-year basis. This quarter’s results included the BOLI-related charges of $54 million I mentioned earlier, as well as $24 million of securities losses. Of that, $18 million related to our reclassification of certain securities from available for sales trading that we used to fund deferred compensation plans. This move will allow us to better match revenue and expenses related to deferred comp going forward. Fourth quarter results included $34 million BOLI charge and $40 million of OTTI charges on preferred securities. Results a year ago included a $273 million gain from Visa’s IPO, partially offset by 152 million BOLI charge. We also realized securities gains of 27 million last year. Payment processing revenue was down 3% sequentially and up 5% on a year-over-year basis. Quarterly decline was largely due to seasonality, given the traditional strength of our fourth quarter transaction volumes. Generally speaking, we continue to see growth in transactions offset by lower average ticket prices, related to lower consumer spending levels. New customer acquisition remains focused in a strength, and we continue the process of building out our merchant sales force. Corporate banking revenue was down 4% sequentially, and up 8% year-over-year. Those fees are typically strongest in the fourth quarter, given seasonal loan renewal volumes. As currency markets have demonstrated lower volatility, we’ve seen less hedging activity among customers and weaker commercial demand is also having an affect on swap activity. Deposit service charges were down 10% sequentially, and 1% year-over-year. Sequentially, consumer service charges declined 14%, reflecting fourth quarter seasonality and higher consumer balances. Commercial service charges declined 5%, driven by higher commercial compensating DDA balances which produces lower account service fee revenue. Investment advisory revenue decreased 3% sequentially and 18% from a year ago, reflecting lower market valuations on assets under management. While the recent market rally should be helpful in this area, during the quarter, the general trend was for assets to flow into lower yielding vehicles such as money market funds. As I mentioned earlier, we had an extremely strong quarter in mortgage banking. Net mortgage revenue was up 163 million from last quarter, the other line item related to this business securities gains on non-qualifying hedges fell $80 million sequentially to $16 million. If you net these items against one another which is the way to look at it, total revenue for mortgage banking rose $83 million from the prior quarter. Demand remains strong with March application volume of $4 billion. We’re also seeing significant interest in mortgages offered under the homeowner’s affordability and stability plan which accounted for approximately $1 billion of our March application volume. At this point, this program is in its early stages and will offer additional color on the impact of the program as it progresses. Non-interest income this quarter was about $775 million, excluding the unusual items I outlined, and we’d currently expect a similar level of second quarter non-interest income. We expect seasonal improvement in processing and deposit revenue, which will be seasonally stronger offset by mortgage revenue, moderating to a more sustainable level. Moving on to expenses, excluding last quarter’s goodwill impairment which was $965 million and other unusual items non-interest expense decreased 9% or $95 million sequentially, an increase of $247 million, compared with a year ago. First quarter results last year included the benefit of reversing $152 million in Visa litigation reserves sequentially, the fourth quarter included very high credit-related costs, particularly reserves for derivative counter party losses and higher provision for unfunded commitments. The decline in those two areas represented about two-thirds of the decrease. The remaining increase from the year ago represents the year-over-year effect of First Charter and higher credit-related costs, primarily loan and lease collection costs and provision for unfunded commitments. We do expect second quarter core and non-interest expense to be relatively consistent with first quarter levels, as we continue to manage cost aggressively. Now moving on to capital. As Kevin mentioned, capital ratios generally strengthened during the quarter and we expect them to improve further in the second quarter. The Tier 1 ratio increased 34 basis points to 10.9% and total capital increased to 15.1%, both well above our target levels. The tangible common equity ratio held steady at 4.23%, which excluded about 12 basis points of unrealized securities gains. You know that different investors focus on different versions of this ratio, so we have expanded our disclosure in the release to try to provide transparency on this for you. I think we have provided four different methods. As you will see as an example, our TCE to risk-weighted assets including the unrealized gains was 4.8%. Now as Kevin mentioned, our processing transaction is expected to add in excess of 90 basis points to all of our capital ratios and put us in a pretty strong position at the end of the second quarter. On that note, I’ll turn the call back over to Kevin for his closing remarks. Kevin.
Kevin Kabat: Thanks, Ross. We appreciate your time this morning. I know you have a busy morning ahead. The environment remains challenging, but the actions we have taken over the past year will help provide us with the flexibility to make our way through the economic crisis and merge a stronger company on the other side. Our employees continue to focus on day-to-day execution despite the significant distractions they faced with, on a day-to-day basis and I think that shows through in our core results. With that, operator it’s time to turn it over for questions.
Operator: (Operator Instructions) Your first question comes from Betsy Graseck - Morgan Stanley.
Betsy Graseck - Morgan Stanley: Couple of questions, one could you talk through a little bit about the new loan growth that you’re generating and the degree to which it is sourced from existing customers, existing lines of credit versus new customers versus, maybe existing customers and completely new lines of credit. What I’m trying to get a sense of, is the degree to which you’re new lending is based on old pricing or based on new pricing?
Kevin Kabat: A couple of things I’d say in general Betsy on that, one is we are seeing both. We are bringing in new customers as well as renewing and extending lines with current relationships, particularly strong relationships. I’d tell you generally, we are seeing and getting higher pricing even through the renewal, as well as well as our focus has been on broadening relationships particularly in the commercial book. So beyond pricing, we are also getting the ancillary services, treasury management services, more deposit relationships et cetera. I can’t give you a specific breakout in terms of dollar for dollar, new prospects versus renewals and originations in that way, but we are seeing both in that regard.
Betsy Graseck - Morgan Stanley: And the degree, which the pricing ability that you have is increasing or decreasing as you kind of think through the last six months. I mean there has been a change in the competitive dynamic in your footprints. So it’ll be helpful to understand the degree which you can either take advantage of that or not?
Kevin Kabat: I think that’s exactly a very good point and we’ve been able to take advantage of that and I think that shown really on both sides of the balance sheet for us, both our pricing from a yield on assets and customers that way, but also our expectations and what we’ve seen in pricing even on the deposit and liability side. So you’re exactly right that’s beginning to happen in both sides, we’ve seen that specifically.
Ross Kari: I’ll just reinforce that the projected increases in net interest margin for the second quarter and continued throughout the year, as Kevin said do reflect a better pricing environment for both deposits and loans, and we are very focused on making sure we realize that.
Betsy Graseck - Morgan Stanley: And that’s 15 to 20 bps increase was by year end, is that right?
Ross Kari: No.
Betsy Graseck - Morgan Stanley: That was each quarter.
Ross Kari: That’s the second quarter and we should continue to see some improvement beyond that.
Betsy Graseck - Morgan Stanley: Okay and then separate question on thinking through stress, up to now you can’t say much about it, the journal had some suggestions as to what the stress requirements were in the journal yesterday. Could you just comment as to whether or not those numbers that you would feel confident with?
Kevin Kabat: Betsy, your information is at same place, as we are then from the publications. But, we can’t comment on that. We don’t know what the expectations will be. As you know, from that standpoint, we feel very good about our strengthened capital ratios in positions today, and that’s about the extent of what I can comment on right now.
Betsy Graseck - Morgan Stanley: And then just lastly, there are programs to help institutions move to stress test their off-balance sheet through the PPIP and the bad assets off, how do you think about those programs and the degree at which you’d be interested or not?
Ross Kari: Clearly the PPIP is something where we are interested in especially with respect to the assets that we have marked as held-for-sale, we feel like we’ve taken aggressive marks, we feel like the activity in the first quarter actually confirms that and the PPIP should hopefully bring more buyers into the markets and hopefully support a little improvement in the prices on those, so clearly looking at possibly using PPIP for those assets as well as some other distressed assets.
Betsy Graseck - Morgan Stanley: Would you be willing to use PPIP even if it generated a loss for a portfolio or only if it’s generated a gain or flat?
Ross Kari: Well, we’d have to look at it on an asset-by-asset basis, but clearly we feel that we have large portfolio of loans that we’ve marked aggressively that wouldn’t generate a loss and may generate a gain. There are other assets where we have to look at what pricing ended up being through PPIP but we’re surely interested in identifying that.
Kevin Kabat: The other thing Betsy, just as a reminder, our fourth quarter actions was, we attacked aggressively our worst performing pieces of those portfolios. So we have taken a lot of actions that we think have well positioned us for where we are today, but again, I think, we went after the worst performing of our bucket in our portfolio.
Ross Kari: It also reinforce from Mary’s comments that for the NPA’s that we’re still holding for investment. Those on average are marked down to $0.63 on the dollar. Even when we manage through normal NPA process, we’ve been pretty aggressive in taking charges on those and therefore it’s worth consideration of whether any of those assets could be sold even without an additional loss.
Mary Tuuk: And the other thing I would add to the overall comments is that we also have a lot of other vehicles before us for purposes of additional flexibility. So we have been able to take advantage of local market opportunities for sales of smaller pools of assets as well as some other larger pool opportunities. To Ross’s point, that we started on already in the fourth quarter and we saw some continuation of that in the first quarter.
Operator: Your next question comes from the Brian Foran - Goldman Sachs.
Brian Foran - Goldman Sachs: Can I ask the Advent transaction, when I read the put language within the Advent transaction, it seemed to imply that with the limitations around selling all of Fifth Third and the limitations around the government ownership being above 20% or I shouldn’t say limitations, with those things triggering the put option. It seemed like the message we should take away is you are fairly confident that between pre-provision earnings, your existing capital stack and maybe some other things like your asset management business that you’re very confident, you can generate any capital you need this cycle from organic measures. So one is that the right conclusion to take away from that put option language, and then two is there any relative preference between, are you thinking about more business disposition still or STP asset or are you still thinking about potentially converting the convertible preferred or is that off the table with the Advent transaction? Just different things you are thinking about in terms of the capital outlook from here?
Ross Kari: I’ll just say that with respect to the Advent transaction, I think the conclusion should be that we are confident in our current capital position. We are confident in our ability to maintain an appropriate capital position, and leave it at that. So with respect to other capital generation ideas, last quarter, I think we mentioned a couple other alternatives that are out there, they are still out there. We still recognize those. I think that we feel very good about where we are now and especially after the Advent transaction closes.
Brian Foran - Goldman Sachs: And then the follow-up, you are the second or third bank to specifically mention net interest margins bottoming in January. Can you give us a little bit more color, maybe where the exit run rate for the quarter is relative to January and also why? I understand the general idea of why the first quarter could be a bottom, but is January just the inflection point, where rates have been in zero percent for a while and new loan pricing starts to come in? Or was it something about deposit pricing that happened and inflected in January? Why is January the inflection point?
Ross Kari: Well, I think about the way deposits reprice and what the environment was like in the third and fourth quarter last year. I think that the rate environment was very, very competitive and there was a real race to build liquidity. As a result, a lot of CDs went on balance sheet pretty narrow spreads high rates in the third and fourth quarter, last year, as that competitive rate environment eases pretty dramatically. We ended up with all of a sudden a number of those CDs that are rolling over in the first quarter and in the second quarter end up pricing down reasonably substantial rates. So, I think the January was the inflection point, plus with bringing in TARP funds and the benefit from that, at the end of the year that also has a little impact. If you think about how the trend would move and what it would look like at the end of the quarter, I’d just say simply that, with January is a low point, the major impact is going to be, assets are renewing throughout the end of the first quarter and early second quarter and then deposits are rolling over. It’s a heavy roll over quarter in the second quarter on deposits. You’re going to see a fairly continuous lift in net interest margin from January through the end of the second quarter.
Operator: Your final next question comes from Mike Mayo - Deutsche Bank.
Mike Mayo - Deutsche Bank: Just you said you thought the reserve building might be a little bit less next quarter and I was interested in why that would be the case? Or do you think the pace of increase in NPAs might be less? I just look at the reserve to NPA ratio, which went down linked quarter and just wonder what gives you a little extra confidence and also a few banks you talked about seasonality in terms of credit and that seasonality might hurt some credit trends in next quarter, if you could comment on that too?
Ross Kari: I will just say that, as we look out to the second quarter and we always feel pretty good visibility in to the next three months. We think the building NPAs is going to flow of new NPAs is slowing and that would be the major driver for future trends in charge-offs and hence that’s why we feel confident making that comment.
Mary Tuuk: The couple of other comments that I’d add to that, as you know we took some very significant credit actions in the fourth quarter to really take the most significant loss risk out of the portfolio. So, to that end, we think that we have been very aggressive in particular with respect to the homebuilder portfolio and we saw obviously much better trends in our homebuilder performance for that portfolio in the first quarter. We also think that the geographies that we’ve had the largest concentration and with respect to real estate being particularly the Eastern Michigan geography as well as the Florida geography saw some the economic stress earlier and so, we feel better about how we are positioned relative to the timing of some of those economic deterioration trends that we saw in the geographies, coupled with the aggressive nature of the fourth quarter credit actions that we also took.
Jeff Richardson: This is Jeff. One last thing I think I have just noticed that our reserve levels are very strong and in the sense that reserves there are the cut to absorb losses. Our reserves are about 150% of our first quarter annualized charge-offs, not many of our peers would have reserves that are better that much or that strong relative to the charge-off levels.
Mike Mayo - Deutsche Bank: Then just one short follow-up, the NPAs went up by one-third even with the big fourth quarter clean up just I know you covered some of this, but just a short reason why that was the case?
Mary Tuuk: The overall non-accrual trends that we saw in the consumer book were actually very, very good. The growth was actually almost flat exclusive of the loan modification activity that we saw and in terms of the areas, where we saw a little bit more weakness in the portfolio. As you would expect, there is still kind of two primary reasons for the weakness. One would be some of the additional deterioration in the real estate performance that we’ve seen and then in addition, we’re also focus to looking at some of the other industries that would have more of a correlation to the general economic trends, and we saw some of the trends there in terms of the projected non-accrual growth.
Mike Mayo - Deutsche Bank: You’d mentioned industries with consumer spending in commercial. What did you mean by that, which industries?
Mary Tuuk: Any industries that would have a more direct correlation to the deterioration in economic trends that would affect the customers discretionary spend. So, to that example one of the things we’d look at as an example would be the accommodation and food industry. To the extent that there is a much more direct correlation to the customer’s discretionary spend, we are seeing a little bit more weakness in that kind of an example.
Mike Mayo - Deutsche Bank: Being outside accommodation do you mean like food and hotel or…?
Mary Tuuk: Yes. Restaurants, hotels
Mike Mayo - Deutsche Bank: Okay. All right, thank you
Operator: There are no further questions at this time. Are there any closing remarks?
Kevin Kabat: I’d just like to thank everybody for the time this morning and have a great day.
Operator: This concludes today’s conference. You may now disconnect.